Matt Wells: [Call Starts Abruptly] All participants are in a listen-only mode and a question-and-answer session will follow our opening remarks. And before I hand the call over to David, I want to remind everyone that our commentary may include forward-looking statements. These statements are subject to risks and uncertainties that could cause Ceridian's results to differ materially from historical experience or present expectations. A description of some of these risks and uncertainties can be found in the reports we filed with the Securities and Exchange Commission such as the cautionary statements in our filings. Additionally, over the course of this call, we will reference non-GAAP measures to describe our performance. Please review our earnings press release and filings with the SEC for our rationale behind the use of non-GAAP measures and for a full reconciliation of these GAAP to non-GAAP metrics. These documents, in addition to a replay of this call, will be available on the Ceridian Investor Relations website. And with that, I'd like to turn the call over to David.
David Ossip: Thank you, Matt, and thank you all for joining us today for our first quarter earnings call. Today, I'll discuss our strong first quarter results and talk to our continued technology leadership in HCM. Leagh will give more information on recent sales wins, successful customer implementations and continued efficiencies in our organization. Joe is also in the call and will discuss our investments in innovation, including new products and generative AI. And Noemie will then provide insights on our quarterly performance and 2023 full year guidance. I will begin with our financial results. We had another fantastic quarter, exceeding guidance across all revenue and profit metrics. On a constant currency basis, Dayforce recurring revenue grew 46% year-over-year. As that's a very high number, let me break it down. Dayforce recurring revenue ex float grew 29% on a constant currency basis, with tax modernization contributing approximately 600 basis points of growth. Adjusted EBITDA was $105.4 million or 28.4% of revenue. This was driven by the revenue upside and a focus on operational efficiencies. Along these lines, adjusted cloud recurring gross margin was 78.7%, which expanded 320 basis points year-over-year as we continue to drive synergies across hosting and support while delivering industry-leading Net Promoter Scores. Adjusted operating income of $88.5 million was also up significantly as we benefited from these trends. Looking towards the rest of the year, we are raising both our revenue and profitability targets for fiscal 2023. Before I discuss the macro and why we see continued traction in an evolving market, let me say thank you to our exceptional employees, partners and customers. Obviously, Leagh and I are very proud of how we live our brand promise of make work life better every day and how this focus has led to quite simply impressive results. Thank you. On the macro, the economy continues to adjust to the new ways of working, and we are finding that there are several trends that are driving selection and adoption of Dayforce. First, all organizations are very focused on efficiencies. As described on previous calls, Dayforce was built around delivering quantifiable value to our customers. This is part of our DNA. Before we build any feature, we identify and measure that this feature will impact. The measure must be quantifiable and convertible into a dollar benefit to the client. For example, with Dayforce Wallet, we have seen voluntary attrition rates decline by more than 20%, saving our clients significant employee turnover and trading costs. It is this focus that has delivered strong returns to our customers and helps position Dayforce ahead of the competitors and drives Dayforce demand even in today's macro. Also tied to efficiency is the focus on IT simplification and automation. All organizations are looking for ways to reduce the number of systems that they use as this saves duplicate hosting and licensing costs, expensive integration cost and unnecessary internal IT resources. As you know, Dayforce is a complete human capital management system that is differentiated in a single database and continuous rule engine design. This allows organizations to eliminate duplicate system costs, simplify user experiences and reporting and to leverage automation to speed up while further reducing costs. Again, this drives demand and adoption of Dayforce. The third industry trend is delivering an exceptional experience for all types of employees. This applies to candidates, employees, flexible workers, alumni and pensions. Today's global market demands of employees are connected and aligned no matter their status or location. We have been laser focused on this. Last year, we introduced the Dayforce Hub, which allows customers to imagine, easily deliver and manage a streamlined communication experience for all their people across both web and mobile. The adoption of the hub has been amazing probably because employees use Dayforce every day to view their schedules, swap shifts, record time and see their pay. In other words, we always have the attention of the employee. A few weeks ago, I attended the Dayforce User Group Meeting, where three customers proudly showcased their hubs. I was exceptionally impressed mostly because it's apparent that customers love the product, but how this differentiated from competing HR portal in that it is one with the core HR data model. This means if a person moves location, changes roles or status, the person is automatically assigned to the appropriate upgrade. And so the experience for that individual is always right and relevant. And in terms of relevancy, what I mean is that the hub shows the HR metrics relevant to that person, such as what's my intra week wage percent, what's my turnover rate, what's my team engagement score. The hub also highlights any items requiring approval or attention, such as approving time off requests, providing performance feedback, selecting benefit choices or attending a specific training. And it allows the organization to publish any company or team news relevant to that person. From an admin perspective, the hub is a powerful platform that leverages a single database, perform and workflow capabilities the deep link to both Dayforce and third-party systems. This allows customers and partners to build engaging and meaningful employee experiences. As you can tell, I'm quite excited about the hub and believe that it is too a driver of Dayforce demand and traction. The fourth industry trend is growth. Many of our customers have grown either organically or through acquisition. In both cases growth drives complexity and often, that complexity becomes a barrier to future. Dayforce as a global people platform allows organizations to apply best practices such as standardization, job harmonization, shared services and globalization that allow companies to move quicker, to grow out adding as many HR resources and to take advantage globally of lower labor cost jurisdictions. This is exceptionally important given the current wage inflation. Dayforce is differentiated by its global HR payroll and workforce management capabilities. And this, too, drives demand and adoption. Another trend that is driving product demand is compliance. Organizations globally are struggling to be compliant with wage, data privacy, data residency requirements, cybersecurity and internal order and SOX controls. As you know, Dayforce is recognized in this regard. We are a leader in compliance, and so this too has led to increased demand and adoption. The last trend is decision-making. Effective decision-making is essential for any organization and Dayforce helps organizations make better decisions by providing knowledge to the right person at the right time. Dayforce has hundreds of prebuilt reports, categorized across HR and operational categories. The reports and single database design allows data to be easily presented and visualized. This allows an organization to design, roll out and track the effectiveness of HR and operational strategies. The reports can be delivered through dashboards, messages, hub info cards or via intelligent nudges. And the nudges can be used to encourage employees to take action on operational HR costs. I have seen customers highlight intra-week wage percent, overtime and attendance numbers that allow their operational managers to make same-day decisions to run their businesses more efficiently and more profitably. I have also seen customers highlight employee engagement scores, turnover rates, time and cost to hire that provide valuable insights into HR trends so that their leaders can identify areas for improvement and make the necessary changes. And it should come as no surprise that we are actively exploring ways to integrate generative AI into our platform, our customer life cycle and our business. This is an area that I'm very excited about, and Leagh and Joe will take us there shortly. In summary, Ceridian remains positioned as an innovator and a share taker in the global HCM market. Our Dayforce differentiation has allowed us in many ways to ride the current macro wave successfully. And before I turn the call over to Leagh, I'd like to welcome partners, customers and prospects to our upcoming summits in Chicago, Atlanta and Toronto. These events will showcase how Dayforce enables customers to transform their organization for today's world of work. Now I'll call over to Leagh. Leagh, the floor is yours.
Leagh Turner: Thank you, David. Echoing your comments, I'm pleased to report that Ceridian continues to deliver both top and bottom line results, demonstrating the durability of our business and our focus on efficiency, productivity and operational scale. Before turning the call over to Joe to talk about our product momentum and road map, I'd like to highlight a handful of recent sales wins and go-lives in addition to providing context on what continues to drive our success. In Q1, we saw strong growth across the entire Ceridian community. In fact, this quarter, we surpassed 6,000 customers on the Dayforce platform, with 52% of our sales this quarter representing full suite. To put this into context, over the course of the past five years, we've effectively doubled our customer footprint while continuing to build modules into our leading HCM platform that are increasingly appealing across every segment. On top of this, we had strong go-live activity this quarter. Together with our partners, we brought live over 180 new customers, ensuring that we continue to help organizations around the world and across industry drive efficiency and transformation in this very complex environment. This momentum, in addition to a healthy back-to-the-base sales motion, which is tracking well against our full year target of 25% to 30% add-on sales, drives a very durable growth formula that underpins our results. Now I'm going to get into a few notable Q1 wins and go-lives. In Q1, new customer wins include a humanitarian aid and community services not for profit in Australia, which chose Dayforce to support its 27,800 employees with plans to double this number over the course of the next five years. Our U.S. provider of voice and data network communications with 11,500 employees in 30 states chose Dayforce as a single HCM platform to drive efficiency and manage workforce complexity. And the Canadian operations of one of the world's largest global automotive companies with 8,000 Canadian employees replaced its legacy platform with Dayforce Workforce Management, industry solutions and benefits to help reduce operating risk and increase data visibility. Also some notable organizations that we took live over the course of the last quarter include: a global leader in contingent workforce management, which recently launched Dayforce to improve the experience and increase the scalability across its 18,000 contingent workers in the United States; one of the world's largest payment processing corporations with over 15,000 employees in 79 countries went live with Dayforce HR, payroll and workforce management in Ireland and in Denmark. And a multi-brand retail company with approximately 11,000 employees at over 650 locations in the U.S. and Canada went live with Dayforce HR, benefits Time, Advanced Scheduling and Learning for its U.S. population. Within this momentum, we continue to see Dayforce Wallet as a differentiated solution that best ties together our unique product leadership and ability to innovate. We now have more than 1,540 customers that have signed on to the wallet with over 930 lots. Registration rates have surpassed 50%, and we've seen loads triple year-over-year to 350 million in Q1, reflecting continued demand and healthy usage across the entire customer base. While it remains a competitive differentiator for our sales team with over 80% attach rates to new sales wins and early traction in the U.K., where our PEP model is being rolled out is very, very positive. And for those of you who don't know, pay cycles in the U.K. are monthly, so an on-demand solution offers real in-market differentiation. Also fueling our momentum is the vibrancy of our growing partner ecosystem as we're seeing great progress across every single channel, including influence partners, private equity partners, software partners and of course, our system integrator partners. And we're seeing the impact of their work in the momentum behind our pipeline, our kickoffs and our go-lives. The energy of this community is very strong, and we're excited to make the most of it as we host our Cerdian Partner Summit this month in Chicago. Related to that, I'd be remiss not to update you on the progress we're seeing from aligning our revenue and customer experience organizations together under Steve Holdridge, which we announced to you last quarter. I'm happy to report that Steve and his team are doing a great job, and we're seeing his leadership bear fruit in terms of driving alignment and efficiency across our teams and for our customers. It's clear that this is absolutely the right model for us to further activate our growth levers in this environment, and we remain focused on creating best-in-class operational effectiveness across the entire customer life cycle with proven leaders and programs that will continue to help us win. As David teed up upfront, one avenue we're leveraging to drive these efficiencies is threading AI across our business. More specifically, near term, we believe there's a strong fit for generative AI to augment our customer support organization, allowing them to serve customer needs more efficiently and proactively. We have a proof of concept that currently involves training the model with Ceridian's product knowledge base, release notes and implementation guides, and we're optimistic that this will improve key metrics, including rep productivity, response times, customer satisfaction and overall employee empowerment and engagement. While this project is still in beta, early results have been very promising, and we believe that this is just the absolute beginning for the application of predictive and autonomous tech in our internal and customer-facing environments. In closing, the macro environment is very favorable to us, and the demand for Dayforce has never been higher. Market-leading companies with strong balance sheets are focusing on the fundamentals, and they are investing, and we are taking share. This quarter gives me great confidence in our ability to continue to execute against our medium- and long-term goals. We have the right team, the right go-to-market strategy and the absolute right value proposition. And together with our partners, we are uniquely capable of helping our customers and prospective customers not just survive in this environment but thrive. In closing, like David, I'd like to thank our customers, our investors, our shareholders and most of all, our people for allowing us to seize this opportunity. And with that, I'll turn it over to Joe to walk you more deeply through our product momentum and AI road map. Joe, over to you.
Joe Korngiebel: Thank you, Leagh. Our momentum continued to climb within our people platform in Q1 as we successfully delivered timely and impactful innovations to our customers, the most impactful and important part of our road map ahead is our continued AI and machine learning investments. In Q1, our use of generative AI within our products progressed substantially and is beginning to deliver quantifiable value for our customers and their employees with this technology even before a candidate starts in their career, all the way through every step along the way in their career, generative AI technology is transforming our entire HCM suite. Let me highlight a couple of examples that we are working on with our customers. A talent acquisition co-pilot for recruiters, this assists with the authoring of job titles and job descriptions for requisitions instantly and provides a domain-specific large language model that provides them a personalized company-specific chatbot experiences for a candidate. It gets them the answers to their questions instantly that they might have about their potential employment, things like job details, benefits questions, company culture information and resources they need.  They're answered instantly. This naturally extends into a career co-pilot for employees -- this saves them time and improves their productivity by helping with things like writing personalized quarterly goals, authoring performance reviews. Yes, those time-wasting performance reviews are now a co-pilot assist me and provides much greater productivity with and generating personalized learning pads that are based on the data that we have around a person's career, especially their skills with our Dayforce skills engine. We're also looking to leverage our strength in payroll and workforce management compliance with a pay and compliance co-pilot. This is for administrators to help shield our customers from operational risk. We're mining business process data so that we could automatically draft HR policies, and we can work as a co-pilot to help automate payroll, so we can find anomalies in the data before you even run payroll and really help to realize the vision of autonomous payroll, driving to resolution of these open anomalies and driving errors down to zero with your payroll. As always, we're embarking on this journey with our customers and keeping data stewardship at the forefront of what we're doing from security to privacy, to governance, to algorithm transparency and fair practices, keeping that in the foreground. You see our architectural approach of a single database without multiple systems are stitching together acquisitions that really fragment your data and provide it impossible to have a clean set of data for these powerful algorithms and really the source behind generative AI. This is a unique advantage for us in the data age. And as a trusted compliance leader for our customers, we are transforming the industry with this innovation. Really, we're doing it with responsible innovation together to redefine the value and impact that our HCM platform can have on making work life better for our customers and their employees. I'm incredibly excited about our future ahead and really raising the bar for what our HCM can do for our customers in this time of efficiency and productivity. But now let's look at the financials of our quarter with Noemie. Noemie, over to you.
Noemie Heuland: Thank you, Joe. We entered the year with healthy top line momentum underpinned by Dayforce recurring revenue growth of 46% at constant currency, driven by Dayforce recurring revenue ex float growth of 29% at constant currency. This reflects sustained employment volumes, strong seasonal activities related to year-end and a 600 basis point benefit from tax modernization. Revenue upside dropped to the bottom line, and adjusted cloud recurring gross margins continued to expand, helping drive adjusted EBITDA of $105.4 million or 28.4% margin ahead of our initial guidance. Operating cash flow of $11.3 million reflects a mix of typical Q1 cash outflows and some onetime items that we expect will normalize throughout the year. For example, there was a $13 million onetime reserve established for the National Trust Bank that impacted cash flows in the quarter. If normalized from these trends, our operating cash flows would have been in the range of $25 million reflecting typical seasonality. Looking ahead towards Q2. There are a handful of items I'd like to highlight that impact sequential growth. First, our Dayforce recurring revenue ex float for Q2 was 23% to 24% growth at constant currency, reflects sustained employment trends observed in Q1, in addition to about 400 basis points of growth driven by our tax modernization. It's worth noting that tax modernization does amount to about $3.5 million sequential headwind versus Q1 as the tax business is seasonal, which we previously highlighted. Second, float revenue of $38 million reflects a step down in average balances and an incrementally lower yield as compared to Q1. This is in line with pre-COVID trends. Turning now to fiscal year '23 guidance. We are raising our top line expectations for the year and now expect Dayforce recurring revenue ex float growth in the range of 26% to 27% constant currency, reflecting sustained employment trends and go-lives weighted towards the second half of the year. And as the team previously mentioned, we continue to see healthy usage and customer trends for the Dayforce Wallet. And as such, we expect to exit 2023 with an ARR in the range of $14 million to $16 million on the heels of improving efficiency across the organization. We are raising our adjusted EBITDA outlook for the year by $6 million at the low end and $4 million at the high. Of note, we continue to expect conversion of full year adjusted EBITDA to operating cash flows of about 50%. Before I pass the call to Matt, I'd like to echo David and Leagh in saying that as a company, we remain well positioned to deliver durable and profitable growth over the medium term. With that, Matt, I'll turn the call over to you.
A - Matt Wells: Thanks, Noemie. Our first question is going to come from Siti Panigrahi from Mizuho.
Siti Panigrahi: Great. David, it's a really impressive Q1 a bit across all metrics. And even if you look at Dayforce recurring revenue ex float and ex tax migration, that's almost $7 million, $8 million bid. But my question about the Q2 guidance, just wondering, are you seeing any changes in terms of customer go-live or employment level or even our pipeline? Or is it mostly a factor of conservative guidance, which is kind of a slight change in your strategy? So any color would be helpful.
David Ossip: The Q1 to Q2 is tied to seasonality of our business. In Q4 and Q1, we have the year-end processes that add additional recurring revenue. We called that out, by the way, at the end of last year. We mentioned that the tax modernization would be $11 million in Q1, dropping to $7.5 million in Q1 -- sorry, in Q2. And that is the delta that you see between Q1 and Q2. So it is nothing other than typical seasonality. As referenced, I'd point you back to the last year normality, which was in the first half of 2020, and you'll see the $4 million reduction between Q1 and Q2. It's a typical pattern that you can expect from us.
Siti Panigrahi: That's a fair point and good color. And just a follow-up. You talked about a lot of large deals last year. Wondering how is the go-live trend. You talked about second half mostly go-live. So how is this trending so far? Is that on track? Or any color would be helpful.
David Ossip: Yes, we were very pleased, by the way, with the go-lives in Q1, slightly ahead of what our forecast was. We're very confident in the go-live forecast for the remainder of the year. If you look at the implied acceleration rate on Dayforce recurring for the second half of the year, you'll see that the numbers are there, again, consistent with what we reported with our Q4 earnings call.
Matt Wells: And we'll take our next question from Mark Marcon of Baird.
Mark Marcon: Congratulations to the team on the big increase in terms of profitability. One thing I was really impressed by was you ended up having a 53% increase in terms of gross profit on a year-over-year basis across the consolidated operations, and yet SG&A was essentially flat to down a little bit leading to this rapid increase in terms of operating profit on a GAAP basis. Can you talk a little bit about the areas of leverage, particularly on the SG&A? Like what did you end up skinning down? And how should we think about those efficiency targets moving throughout the year because that was really impressive?
David Ossip: Thanks for that, Mark. Appreciate it. As you know, we've been quite focused on the bottom line and driving efficiencies across the business. First of all, I'd point out that if you look at the most important metric, which is the cloud recurring gross margin, that was up 320 basis points year-over-year to 78.7%. One of our targets that we've communicated to the market is getting that number to above 80%. And you can see that we have obviously a direct line of sight to that. As well right across SG&A, you will notice that on the G&A line itself, you see much more profitability. In Q1 of last year, we were at 11.9%, and that's now dropped down to 10.6%. You'll see the sales and marketing efficiencies as well flow directly through with about a 400 basis points improvement year-over-year as the changes that we've made in terms of sales and marketing are driving additional productivity. And then there is a little bit of seasonality towards that as well. Q1 typically, a lighter quarter for us from a marketing spend. That builds up as we go into the summer and insights towards the end of the year.
Mark Marcon: That's great, really great to see. And then the other thing that was really impressive is just the number of international and multinational wins. Can you talk a little bit more about your ability to really differentiate yourself and where that market opportunity is, what inning we're in with regards to seeing these multinationals take on a modern HCM platform? And how should we think also about the time to go-live for those multinational operations? How should we think about that as it flows through to revenue for the balance of this year and going into next year and the following year?
David Ossip: I believe we're differentiated in our global approach from a core HR model. We've done a tremendous number of investments over the last probably about four, five years in that. We're very, very comprehensive in terms of our global coverage in terms of core HR down to the compliance and the forms that required in the different geos that we play in. As you know, on top of that, we have the payroll capability, which is quite differentiated in market. That is all in one platform across both our native and our global payroll interface pieces of capability. The Hub experience as well has become a very large differentiator, which is becoming the central means of communication and engagement, all global organizations to do comms across their entire business. And what's nice about the hub is that is one with the underlying global HR model, which means as people move across geos, as they move across brands, as they change roles, as they change status, we present exactly the right experience for that person at that time. And that is leading to a lot of wins on the global side. In terms of time to go-live, we aren't seeing much of a difference. The only real difference is that we're not constrained to quarterly go-lives with the global deployments. We can go-live typically on a monthly basis. In some geos, we time occasionally to a go-live for ataxia.
Leagh Turner: The only thing I would add, if I could, David, is that, Mark, if you look at our press release, six of eight of the go-lives that we announced are global multinationals. You see the same reflected in our sales wins. And as David talked about, right off the jump, and we talked about this last quarter, as organizations look for efficiency and scale, they're globalizing their employee base, and we are set to capture share. And we are years ahead of anyone else in this regard with really modern tech that can help enable that shift.
David Ossip: The one piece I probably would add is on the SI front because that is driving the success on the global. The -- our SI program and the adoption by the larger size and the local SIs in the different countries is really much more advanced than it was a year ago, and it's continuing to advance as we go forward. In fact, a few weeks ago, I was in Dallas attending one of the large global SI conferences, where they had their global partners come to Dallas to discuss ways that we can actually build out the partnership. And that's driving a lot of the lead gen that we have, and they are doing most of the deployments on a global basis.
Matt Wells: And our next question comes from Bhavin Shah, Deutsche Bank.
Bhavin Shah: Just one for now. Just looking at Dayforce recurring revenue per customer, it looks like it accelerated on a year-over-year growth basis this quarter. Can you just maybe help dive into the sustainability of that kind of acceleration? And what are some of the key drivers behind this? How should we think about the continued benefit of attaching more modules versus kind of continuously seeing traction upmarket?
David Ossip: Yes. So to put the numbers in perspective, it went from basically $196,000 per incremental customer to $225,000, which was up about 14% year-over-year. Obviously, that is part of the actual beat that you see. That tied to -- we also had a very good go-live quarter with 186 customers go-live relative to 175 the year before, which was also up about 10% but that we would expect that to continue.
Bhavin Shah: Got it. And then maybe just on the float balance side of things. I mean that only -- that kind of decelerated in growth, any way to think about how we should be thinking about that float balance throughout the rest of the year?
David Ossip: The float balance in Q1 does go up relative to the other quarters. In terms of the remainder of the year in terms of float, it was up about 3% in Q1 year-over-year. If I'm looking towards the remainder of the year, I would probably use that as a good guide, Matt, from that perspective. It will be slightly higher in Q2, but I think from a planning perspective, use the 3%. Bonus is not such a big loss in market than they were previously.
Matt Wells: Our next question comes from Mark Murphy of JPMorgan.
Mark Murphy: Congrats on all the success and the market share gains. I was wondering if you could first clarify that just on the disclosure about the 600 basis points tailwind from tax migrations, you've made that, I think, a couple of quarters in a row. We've always had some degree of tailwind from the bureau migrations for many, many years. Are we getting to the end of that process where we would have a minimal tailwind in a year or 2? Or is that something that you think should continue and you've just decided to be calling it out kind of more clearly on the earnings press release?
David Ossip: So it's part of the move to the Dayforce technology, right? So with the tax, we went from old bureau tech to move it around to the Dayforce platform. There are some other components still in what we're now calling other revenue as opposed to bureau revenue. You've got the pieces that are tied to the Ascender and the Excelity acquisitions, which I think you know there's about $85 million in the APJ kind of revenue stream for fiscal 2023 that over time as well will be moved over to the Dayforce side. In the nearer term, as well, we're looking at modernizing some of the underlying tech on the Power pay. And so at some point in time, that also will become part of Dayforce.
Mark Murphy: Okay. So it sounds like some of this is going to continue into the future.
David Ossip: I think you still have a couple of years left, yes.
Mark Murphy: Yes, a couple of years left. Okay. And then, David, can you clarify? There was a great discussion in there about all the co-pilots and wonderful insights on using them in many ways. Are your generative AI co-pilots built on Microsoft ChatGPT as a large language model? Or did you architect that some other way or build something on your own there?
David Ossip: Let me let Joe answer that.
Joe Korngiebel: I appreciate the question. We have, of course, as our enterprise company, have to keep data privacy, data security, data governance, and most importantly, data ethics in the forefront of what we're doing. So we're building large language models, leveraging some of the open source capabilities that are coming out of the great work that's happening in the industry right now. A lot of what the industry is doing are really giving back some of the great technology and things that you're seeing just in the media everywhere. But we don't use it right off of the shelf. We use it. We bring it into our house, and we make sure we put it within our tech stack, so we can still have that single source of truth for our customers in the right way we govern the data, make sure we're just stewards of our customers' data at the end of the day. And if we do it together and responsibly, like as you heard in the overall call, I see a transformation of our industry happening in front of us, and I think with the way we are architected, we have a distinct advantage. We don't cobble together a bunch of data sets and worry about having our customers wonder if there's data leakage and other things happening. Our architecture is incredibly sound when it comes to data governance and I'm looking forward to the continued innovation with our own large language models and our own use of this technology.
Matt Wells: And our next question comes from Samad Samana from Jefferies.
Jordan Boretz: This is Jordan Boretz on for Samad. Congrats on the strong results. So David and Leagh, not to beat a dead horse, but you spoke to the really strong 1Q Dayforce go-lives, obviously, really, really impressive. I'm trying to understand what specifically drove that significant increase year-over-year. Were there any notable changes to call out around your partners' ability to onboard clients? Were there any initiatives that you maybe started with them? Or is it more so just greater productivity on that end?
David Ossip: There's greater productivity on the go-live front. There also was a little bit of a tailwind from employment levels with inside the quarter of about, Matt, about 600,000, 700,000 that came into the actual quarter as well, but largely, it was just good execution.
Leagh Turner: Yes. If I could just add, sales kickoffs and go-lives by partners continued to increase quarter-over-quarter and exponentially so year-over-year. And we imagine this three or four years ago. We started to build the infrastructure to make this possible, and we expect that we will be able to continue to ride this wave in perpetuity. So you should expect that this is a trend that will persist in our business.
Jordan Boretz: Great. That makes a lot of sense. And then a quick question for Noemie just on the guidance. So on the full year adjusted EBITDA guidance, you spoke to the increase there. And it looks like there was a really nice outperformance in 1Q, but maybe the full amount wasn't carried through to the full year. So I'm just curious, was any of that related to the accounting change you called out last quarter? And were there any -- where are those incremental dollars being invested into the business?
Noemie Heuland: No, it's really more like seasonality of spend. We are obviously carrying and flowing through some of the performance from the first quarter as we continue to focus on profitability and scale. But we're also continuing to invest in our product organization. You heard Joe talk about all the innovations around generative AI as well as global expansion as well as the wallet. So those are areas of investment for us. We continue to invest in sales and marketing as well in demand generation, in pipeline build and marketing campaigns, which you'll see materializing throughout the year. So those are areas that we are continuing to invest throughout the year. But we're -- again, we're flowing through a pretty large portion of the profitability beat from the first quarter through the year. The other thing I want to call out as well is the cloud recurring gross margin. You saw the improvement in the first quarter, up 320 basis points year-on-year. We see the fruits of our efforts from last year in modernizing our support organization, shifting some of the work into lower-cost jurisdictions, embedding automation in the product to ease the burden on the support. So all those things that we've started a couple of years ago start to materialize now, and we continue to expect cloud recurring gross margin to grow throughout the year as well.
Jordan Boretz: Great. It was definitely great to see it increase even ex the float so congrats on the strong results there.
Matt Wells: Our next question comes from Matthew Pfau, William Blair.
Matthew Pfau: I wanted to first follow up on the generative AI discussion and just get your view in terms of how you're thinking about the sort of initial wave of impact in your business from the products you're developing. Is it more furthering your competitive differentiation? Or do you also envision a PEPM opportunity here with these products you're working on?
Joe Korngiebel: I'll take that. So I appreciate the question. And yes, we're going through a renaissance right now in all aspects of technology, but especially in the people applications that we really serve for our customers. The first and foremost is automation and efficiency. I think what we're able to do with the tech is to start to drive more efficiencies and automation in a time of need. We can take what tasks would take a long time to do. We look at what we're doing with some of the things to really recruit candidates and find candidates into a very labor intensive to go through resumes very labor intensive to have interview after interview to answer their questions. You look at what chatbot technology can do and really powerful large language models. It can pre-write a lot of the content that you need, and then they can provide those answers instantly instead of a lot of back and forth. Those type of efficiencies we're seeing from our customers, they're making a meaningful value add to their business when they need to drive efficiency. Are we looking to then monetize that? Yes, as we look through, I mentioned the concept of co-pilots. I look at the technology, and again, the business we're in is making people's work life better. We feel like fundamentally, we can do that with this technology. We can start to elevate people's work and provide them with more time for the value add that they can add to the business as opposed to a more test to be automated. And so we are looking to provide co-pilots for the different personas that we support, a co-pilot for an employee in their career, help them through it for a recruiter, a co-pilot for a payroll administrator who time spends a lot of time in non-value-added work. And so yes, we feel like the co-pilot concept that we're doing is, over time, going to be monetized in new products that we can offer to our customers to really make work more efficient for their employees.
David Ossip: Just a couple of points. We also have a number of initiatives with generative AI internally. Specifically, if we look at the support group, 70% of the inbound tickets are what we classify as knowledge based. In other words, asking questions about the product, how do I do something. We have built a tool that when we are now testing it across 60 different support reps. We have found that the tool can answer 75% of the inbound questions, and we've trained it only with our knowledge bases and our implementation guide. In other words, what words have set the model not to look at the public Internet or any information, only look at the documents that we've actually provided and the ability for it to answer at a very high degree of confidence is 75% of the inbound questions can be answered by the tool. There are some other smaller features inside the product that we're looking at, if you're configuring the application and you require a description, say, for a job, we can call an API that basically returns to job description based on the name of the actual job. When you work in different languages, when you create a record in the database or a particular one language, it can ask if you would like it to add the descriptions and the names and the other languages. So there's immediately some productivity features that will flow through the application. And then as we get more sophisticated, you'll see it in the actual co-pilots. The same tool that we're using for support, we'll be seeing quite a good return in it being able to actually do some of the configuration work, writing reports, data migration types of tasks. So I do think you'll see an impact as well to the cloud recurring gross margin over time as well.
Matthew Pfau: Great. Very helpful detail on that. And then one on the full suite uptake you're seeing and good to see the over 50% of new deals in the quarter taking the full suite. Is there any trend in terms of customer size that's adopting the full suite?
David Ossip: It's right across the board. I'm seeing some very, very large organizations looking at the full suite. The hub experience and its attachment to the knowledge base with inside the actual system is very, very powerful because it allows you to centralize your communications tied to the HR model that is present at the moment. For the right experience, it's in front of the right person. And that cuts right across the whole HCM spectrum. So you can have a candidate experience, a retiree and alumni, an active employee and you're always publishing pertinent information to that individual. And obviously, the more modules you use within our system, the more information that you can make present from an engagement and communication perspective.
Leagh Turner: The only other thing I would add, if I could, is just we said this last quarter, and we would underscore it again because it's showing up both on the sales side and the go-live side is that during a tough macro, platform players win. That's just all there is to it, and we're really seeing that in our pipeline.
Matt Wells: We'll take our next question from Jared Levine from Cowen.
Jared Levine: In terms of the demand environment, were there any notable differences in terms of by employer size, geography or vertical here, and then in terms of the qualified pipeline, any noticeable change relative to the beginning of the year as well?
David Ossip: Our large enterprise and enterprise pipeline continues to grow relative to last year, but that's tied largely to the changes we made from a go-to-market perspective and the build-out of the actual team. It's a healthy pipeline, I'll say, right across segment and across geo.
Jared Levine: Okay. Perfect. And then in terms of sales force, can you discuss how the number of sales reps compared to the start of the year and how you expect sales headcount to land for the full year?
Leagh Turner: Yes. I mean we were fully staffed out of gate, which is critical to a really good launch of the year and a good successful go to market. We're considering adding head count in areas where we're seeing real buoyancy, and we're doing that judiciously. But you should expect, frankly, that once you launch a go to market, they're only tweaking it really at the midyear point. And we think we have a great go to market that's producing excellent results. So that's about where we're at.
Matt Wells: And we'll take our next question from Raimo Lenschow from Barclays.
Raimo Lenschow: Can I stay on the pipeline question, please? Obviously, we are in -- the economy is impacted at the moment. Question is to what degree. What are you seeing in terms of early-stage pipeline and willingness of clients to think about big -- these projects that will usually take a while to kind of move over payroll, et cetera, like what are you seeing in early stage pipeline? Congrats from as well.
David Ossip: Thanks, Raimo. Well, first, Raimo, I would argue it's not a long implementation. We've had very successful implementations at the large enterprise side of -- in that five- to nine-month time frame. So the move from one payroll system to Dayforce is very streamlined, very effective, and typically, it solves a lot of compliance and inefficiencies for the organization right off the actual bat. As Leagh pointed out, the strength of our platform, and I would argue now that each of the modules that we have in the platform are very competitive even against the best of breeds. In other words, they're very, very deep, tied to the fact that we can really lift up the overall experience to the person through the way that it flows, information flows across the different modules gives us a strong advantage. There is a significant savings to the customer when they move to Dayforce from a whole range of different types of technology. The savings comes from reduced subscription fees. You eliminate unnecessary IT integration and unnecessary IT resources. And at the same time, you can make the processes that the employees and the managers go through much more efficiently. And there's a further benefit from an analytics or decision-making perspective that the information is all together, which makes reporting and visualization as possible. So those we find are actually driving it. And as I -- in my kind of longish type of talk today, the macro in many ways is a big wave, and we're riding that wave successfully. So a lot of that has actually become a tailwind to our business.
Leagh Turner: If I could just add two things, Raimo, I'll say, -- to echo David's last point, market-leading companies with strong balance sheets are focusing on the fundamentals and they're investing. That's just the basics. And we're seeing that at the top of our funnel. The second thing I would say, just to answer your question very directly, you asked about deployment strategies. I mean, we cited in our sales wins in our press release a humanitarian aid organization in Australia with 27,800 employees with plans to double. So they go in with one tranche and then they expand to the rest of their organization. We also cited one of the largest auto manufacturers in the world, 8,000 employees in Canada with plans to expand. We talked about this a little bit last quarter as well. But that's a very, very common trend in our business that global multinationals look at taking bite-sized pieces. They make a holistic commitment. They roll them out one region at a time, generating results and using that result to drive further growth and efficiency.
Matt Wells: And our next question comes from Robert Simmons of D.A. Davidson.
Robert Simmons: I was wondering could you update us on the ideal marketplace?
David Ossip: The progress is going quite nicely. We're in the phase where we now are signing up customers. We expect to launch it towards the end of the year.
Robert Simmons: Got it. Great. And then can you talk about what you're seeing in terms of the sales cycles? How much are the elongated relative to normal? Are you seeing any plans of that improving or getting worse?
David Ossip: I don't think there's any real change. The only difference is that you typically have to run a couple of extra processes with the clients. If you do [Technical Difficulty] with the European clients, it's going to be a DPA process around data residency. There's obviously now a cyber piece that typically you have to go with as well. So as long as you basically go through the processes in parallel, you're not really seeing elongated sales cycles.
Matt Wells: And our next question is going to come from Michael Turrin of Wells Fargo.
Michael Turrin: Great. I just wanted to spend some time around what's assumed with the outlook for the rest of the year. I think the Q1 results are clean and you fielded a number of questions on those. But just any commentary you can provide on what you're expecting from employment trends? It seems like those are holding in steady. So is it fair to assume that, that is also what's assumed in the guide for the rest of the year? And then any color on just how you're thinking about the mix of growth from new customers' expansion or any additional drivers you'd flag for us just in thinking through the rest of the year?
David Ossip: Yes. Look, we're not being an economist, so we're basically holding the employment levels rather constant for the remainder of the year. Obviously, we did see some tailwinds come into Q1, but we're not assuming that continues for the year. We're focusing, as Leagh pointed out, in the cross-sales across the actual base and the focus on new customers, investments with the SIs accelerating their generation of pipe and their ability to implement the actual product to get us to revenue quicker.
Matt Wells: And we'll take our last question from Dan Jester of BMO.
Dan Jester: Great. So to start with, maybe I wanted to you to expand on the comments you made in the prepared remarks about the tailwinds from compliance and reporting. It feels like in Europe, in particular, that the compliance or reporting piece is going to get a lot more stringent over the next couple of years. So as you think about sort of adding new customers and expanding that new customer pipeline, is compliance and reporting -- how much of that alone can be sort of a driver of a new conversation and then it expands? Or is the conversation always going to start with pay or workforce management and compliance is a piece that fits in nicely?
David Ossip: So what I would say about compliance is that it gets us to the finish line very quickly that many of the other players in market really don't have the same capabilities that we do around compliance. And as people go deep into the actual product, they can understand what is truly meant about compliance. And now remember, compliance is multifaceted today. You've got the basic wage in our compliance. And if companies aren't compliant from a wage in our perspective, the liability that they carry is very, very high. There is a piece around internal audit and SOX compliance and making sure that you actually have a system that is able to be used and to actually report correctly to your audit committee and your external audits is very important. There's a HR reporting compliance, which in all the different geos, the various types of HR reports and employment reports that have to go to the various types of geos. There is obviously the cyber piece that flows into that as well. If you're dealing with Europe as well, they have data residency requirements, which you also have to adhere to, which is both where the actual data is hosted and second, who is allowed to actually see that organization typically tied to where that person actually resides as well. And on top of that, there's effectively the -- does the vendor have enough processes that are audited and conformed to the required standards. You also get into various types of geos compliance by function. Like in Germany, there is effectively payroll compliance standards that you have to adhere and to report to as well. We definitely do have an advantage in compliance. Leagh, do you want to talk about the other ones?
Leagh Turner: Yes. I mean I think the only other thing I would say is, first of all, Gartner rates us number one in compliance, so just to attest to David's point. Second, you can imagine, right, we sell to a variety of different personas, CFOs CHROs, heads of operations in every jurisdiction, frankly, in which we operate. And each of them have different needs. And as I mentioned before, in this macro, buyers are looking to consolidate point solutions and platform players with lots of different inroads to capture value and release value for our customers are winning, and it's a zero-sum budget game. So they're all taking a look at the opportunities that we bring to bear.
Dan Jester: Great. And then if I can just squeeze one last one in quickly. On wallet go-lives, if I do my math correctly, it seems like it was a slower pace in the first quarter than you had for a while. Anything you'd call out there?
David Ossip: We focus mostly on penetration or increase in the eligibility of the wallets across the actual base. But if I look at actual loads, they're 3x relative to last year. So we loaded, I think, about 350 million inside the quarter. So, we've now passed 1.5 billion in terms of our loads onto the actual wallet.
Matt Wells: Thank you everyone. That concludes our conference call.